Operator: [Foreign Language] Good morning, ladies and gentlemen. Welcome to the Transat Conference Call. As a reminder, today's call is being recorded. [Foreign Language] I would now like to turn the meeting over to Ms. Andrean Gagne, Senior Director, Communications and Public Affairs. [Foreign Language] Please go ahead.
Andrean Gagne: Thank you, Tina. Good morning, everyone and welcome to the Transat conference call for the presentation of the financial results of the second quarter ended April 30, 2023. I'm here this morning with Annick Guerard, President and CEO; and Patrick Bui, Chief Financial Officer. Annick will provide comments and observations on the current situation and on the operational and commercial plans for the future. Patrick will after review the financial results in more detail. We will then answer questions from financial analysts. Questions from journalists may be handled offline. The conference call will be held in English but questions may be asked in French or English. As usual, our investors presentation has been updated and posted on our website in the Investors section, Patrick may refer to it as it presents the results. Today's call contains forward-looking statements. There are risks that actual results will differ materially from those contemplated by those forward-looking statements. For additional information on such risks, we invite you to consult our filings with the Canadian Securities Commission and on SEDAR and are incorporated through this statement. Forward-looking statements represent Transat's expectations as at June 8, 2023 and accordingly, are subject to change after such date. However, we disclaim any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, other than as required by law. Finally, we may refer to IFRS and non-IFRS financial measures. In addition, the IFRS financial measures were using non-IFRS measures to assess the corporation's operational performance. It is likely that the non-IFRS financial measures used by the corporation will not be comparable to similar measures reported by other issuers or those used by financial analysts as their measures may have different definitions. The measures used by the corporation are intended to provide additional information and should not be considered in isolation or as a substitute for IFRS financial performance measures. Additional information on non-IFRS financial measures, such as their definition and their reconciliation with the more comparable IFRS measures, are available in our quarterly reports and our investors presentation. With that, let me turn the call over to Annick for opening remarks.
Annick Guerard: Thank you andrean. Hi, everyone and thank you for joining us this morning. [Indiscernible] stepped up the pace during the second quarter of 2023. Our momentum continues after a good start to the fiscal year and we have encouraging results to share today. For the period that ended April 30, Transat generated revenues of $870 million and achieved an adjusted EBITDA of $56.1 million which surpassed the second quarter of 2019 EBITDA by almost 40%. There are several reasons for this solid performance. Firstly, demand remains strong. Despite the general economic slowdown, travel is top of mind for consumers. The Canadian airline sector continues to benefit from pent-up demand and international leisure travel is driving the recovery. This is where Transat excels. Demand is strong and prices continue to trend upward. Consumers' confidence in travel remains high as we can see from our advanced booking levels and yields for the summer are 29% higher than those of 2019. Summer is looking bright. At this time of the year, our booking velocity is similar to that of 2019. Approximately 80% of our operations in the opening month will be concentrated in the transatlantic market. This is where we have our most profitable routes. Early indications for next winter are also positive in terms of sales velocity and yield. Overall, we are now in a stronger position. As stated during previous quarters, we continue to be highly disciplined in our growth as we remain cautiously confident in the context of economic uncertainties. On the operational side, Transat also saw a significant improvement during the second quarter. We operated over 6,500 flights. On-time performance steadily improved month after month to reach over 80% in May. Operations were further facilitated by a better grip on challenges by the various stakeholders in the travel ecosystem; [indiscernible] associated with the sudden upturn in 2022, notably in airport operations were -- are out [ph] to promote a smoother, more normal overall air transport experience. We were able to exceed our Net Promoter Score and customer satisfaction targets during the quarter, thanks to the extraordinary works of our team. Now that remains focused on the quality of customer service with the lowest complaint ratio among all Canadian airlines received by the Canadian Transportation Agency. With a big summer ahead, our teams are ready and measures have been taken to ensure that the quality of our execution is maintained for the peak season. Now turning to our strategic plan for which we continue to make significant progress in the second quarter. Firstly, we announced year-round flights to Lyon, Marseille and Nantes. This announcement is another example that support our strategy of strengthening our position on our niche routes. The annualization of these routes enables us to offer better year-round service to our customers while increasing aircraft utilization and reducing the effects of seasonality. This is made possible, thanks to the flexibility provided by our A321LR fleet. Secondly, we have initiated the second phase of our codeshare partnership with Porter. This partnership offers the possibility of combining domestic flights from Porter with Air Transat flights via a connection of Montreal-Trudeau and Toronto Pearson Airport. This codeshare creates a natural feeder network for Transat, increasing traffic, especially on our European routes. Even though we are in early days, the partnership to date has been performing better than our expectation which is encouraging for the future. Thirdly, our fleet operation model is also yielding the desired result. We made it through winter 2023 with 34 aircraft compared to 55 in winter 2019. With 21 fewer short-term lease aircraft dating from our pre-pandemic seasonal suite, we managed to offer close to the same capacity. Our fleet utilization for the past winter was up 22% compared to winter 2019. This winter demonstrated a significant improvement in terms of efficiency. We were able to maintain our cost per available seat mile at the same level as winter 2019. The A321LR continues to be the cornerstone of our growth and we expect to receive 3 additional aircraft this summer and for next winter for a total of 19. Fourth, we have made great progress in improving our revenue management practices. We have continued incorporating advanced analytic tools in our day-to-day practices, notably through the deployment of the POS [ph] software. Ancillary revenues are expected to keep growing by introducing new products and by the progressive introduction of dynamic pricing on seat selection and baggage options. Fifth, we are continuing our corporate responsibility journey. We have submitted on June 1, our third climate related report presenting our decarbonation plan. Our target is to reduce our carbon emissions intensity by 24% by 2030. Our decarbonation plan is focused on the renewal of our fleet well underway and the use of sustainable aviation fuel, SAF which is critical to achieving our target. We support the Canadian SAF road map that was published June 5 by the CSAF Consortium, of which we are a founding member and are committed to collaborating with all industry players to accelerate the production of SAF in Canada. Our decarbonation strategy is key and more details around it will be released in a comprehensive ESG report at the end of this year. In conclusion, second quarter results and achievements clearly demonstrate that Transat is gaining momentum. We are well poised for the third and fourth quarter and are satisfied of the progress we have made, knowing there are more to come. I would like to extend a special appreciation to our employees who embody our values and vision every single day and to our customers who are at the center of our purpose. On that note, I will let Patrick Bui take the floor and elaborate on our Q2 financial results.
Patrick Bui: Thank you, Annick and good morning, everyone. Our second quarter results excluded all our expectations. Our adjusted EBITDA for the quarter hit $56.1 million which marks the highest adjusted EBITDA level for a second quarter since 2009. During the quarter, the demand environment remained robust. Our load factor reached 86% consistent with our internal projections, while yields were up substantially close to 24% higher when compared to 2019. The ongoing implementation of our strategic plan also contributed to these strong results, despite high fuel prices and a strong U.S. dollar versus Canadian dollar. Recall that our second quarter started in February when fuel prices were substantially higher and did not received until April. Fuel prices were, on average, 56% higher than in the second quarter of 2019. A prime example of the benefits of our strategic plan can be seen in our Q2 operating costs. During the second quarter, we operated a program which was 93% of 2019 levels but without a seasonal fleet of 20 aircraft we leased on a short-term basis in 2019 which was a strategy we had during past winter periods. In this quarter, we have immensely increased utilization of our aircraft. For this reason, when combined with our strong focus on cost discipline, our adjusted CASM ex fuel was up only 2% since 2019. Of note this quarter, customer deposits for future travel were up 38% compared to 2019 at $867.1 million which represents an all-time high for April 30 results. This indicator reflects a strong and persistent demand environment and the priority given to travel spending. The summer of 2003 [ph] promises to be a period of robust activity. During the quarter, we also continued laying down the foundations of our balance sheet repair. Of note, we extended the maturities on $198 million in secured loans which demonstrates the trust of our financial partners in our prospects and which will provide us with greater flexibility in our refinancing plan. We continue strengthening our financial position, notably through working capital improvements and generated $155.9 million in free cash to close the quarter with a strong cash position of $623.6 million. Even though we expect to consume cash in the second half of the year which is in line with pre-pandemic patterns, we are reaffirming our objective of generating positive cash flows for the full year 2023 which will leave us in a favorable position to start deleveraging. Separately, we have made progress on the divestiture of the land in Mexico and as mentioned in our Q1 earnings call, we expect to provide further color over the course of the summer. A refinancing of our capital structure remains a priority and we will do so at the most appropriate time. Until then, we will continue improving our balance sheet in any way possible. And now with respect to our Q2 results; revenue stood at $870.1 million, up from $358.2 million in 2022, driven by the resumption of operations with a capacity representing 93% of 2019 levels across all markets, the strong demand environment contributed to the increase in our average selling price. Adjusted EBITDA was positive $56.1 million for the quarter compared with negative $51 million in 2022. In addition to the top line improvements, our focus on the strategic plan as well as our focus on cost containment contributed to delivering these results. Adjusted net loss was $8 million compared with $111.6 million last year. And as per our financial statements, the net loss was $29.2 million compared with $98.3 million last year, a significant improvement. With respect to our balance sheet, as at April 30, the corporation's cash and cash equivalents amounted to $623.6 million compared with $511.2 million on the same date in 2022. The deposits for future travel stood at $867.1 million. The last peak for a second quarter was in 2019 and the current level is 38% higher than that prior peak. The cash interest and otherwise reserved for travel packages totaled $262.2 million as we are entering the low season for packages. With respect to indebtedness, there was no further drawdowns on our credit facilities during the quarter and remained at $863.2 million while lease liabilities stood at $1.052 billion [ph] which includes our 12 LRs. Off-balance sheet agreements, excluding agreements with suppliers, stood at $1 billion which is an undiscounted figure, mainly related to 7 and 4 XLRs yet to be delivered as at April 30. Over the course of the summer, we expect to take delivery of 3 new LRs bringing the total to 15. Looking to the summer, although load factors are 2.6 percentage points lower than in 2019, yields are 29% higher. The combination of a robust demand environment and lower than previously expected fuel prices and taking into account our financial results at midyear, we are raising our initially disclosed adjusted EBITDA target of 4% to 6% to 5.5% to 7% for the full year 2023. In providing such revised guidance, we updated our assumptions, including an exchange rate of CAD1.35 to US$1 and it was previously CAD1.34, jet fuel price per gallon of CAD4.25 and it was previously CAD4.50. Thank you. And we are now ready to take questions.
Operator: [Operator Instructions] And the first question comes from Konark Gupta of Scotiabank.
Konark Gupta: Congrats on great execution overall. Maybe my first question for you, Annick. Like you guys noted the bookings are still looking pretty strong. And we all know this summer is going to be extremely good this year. But you also said the winter is also, at this point, tracking well with respect to historical patterns. I'm just curious as to -- can you share any thoughts why are we seeing so much strength in consumer behavior here? Or are you seeing any sort of markets or weaknesses here and there in light of this inflationary environment and a lot of things going on in the macro side of things. So any color you can share with respect to what's driving this much resilience and a lot of people thought the pent-up demand is kind of over but it seems like it still is continuing here.
Annick Guerard: Yes, for sure. So we continue to see a strong booking momentum. Our booking trends is highly similar to 2019 levels like Express. But for both summer and next winter, we can witness this consumers' confidence in our advanced bookings. Despite the general economic slowdown at this point, we really don't see signs of a slowdown in ourselves at the moment for summer or for next winter. So -- and demand is holding despite higher fares and higher inflation. The Canadian airline sector continues to benefit, as you mentioned, from pent-up demand. It's one of the markets that was the last to recover. If we remember as border restrictions were maintained longer than in Europe and in the States. So it's still catching up. And international leisure travel is driving most of the recovery. The other thing that we're seeing in terms of customers' price sensitivity and the different trends that we're seeing is that our data shows that in the first half of 2003 [ph], people from 55 and plus the baby boomers have resumed their pre-COVID travel pattern which was not the case in 2022, where baby boomers were less inclined to travel than pre-COVID. So the return of baby boomers to leisure travel is really positive for several reasons. Well, first, it represents a good proportion of our clientele. And they have significant disposable wealth and the time to travel and spend and the spend on average 15% to 20% more than the overall Transat average clientele. So this is really important for us and they are expected to be much more resilient than younger consumers in the face of higher price and high inflation which we know will continue in the upcoming years. So far, we're pretty confident with what we see, even though we stay very close to the economic overall, I would say, KPIs, we understand that GDP growth is decreasing and that the inflation and credit costs are hitting household. But so far, we see that the sector is really resilient and hopefully. But that being said, we remain cautious, as we said, in terms of the future. So that's why we're deploying a growth that is not too high. So we're being careful in the way we deploy and we are putting a lot of discipline in how we manage to operation in case that the economic slowdown would affect overall demand. But so far, we don't see that in our indicators.
Konark Gupta: That's a very good color, Annick. I appreciate it. And then maybe my follow-up for Patrick perhaps. With respect to balance sheet, like the last 2 quarters, you guys have put out a pretty significant free cash flow. And I understand the seasonality in the second half and all that but it seems like you're on a pretty good track of naturally increasing your liquidity position through operations. My question is on the deleveraging side. What exactly do you need to start paying down some of the debt that's out there, including the government debt and the credit facilities. I mean are you looking for more sort of confidence in the operations? Or is it more liquidity that you need or you are just waiting for perhaps some of the milestones that you have with these lenders.
Patrick Bui: Yes. It's -- I'd say it's all of the above, Konark. We need to be on a strong footing on a few fronts. And we think that we've made great progress in laying down the foundations to start deleveraging. So repeating pretty much what you said. Number 1, we need to make sure that we're in a strong footing with respect to financial performance, broadly speaking and I think Q2 is a testament to that. Second of all, we need to -- beyond financial performance, we need to be sure to generate cash and build up our cash position. And then the other factors on the side, we mentioned that we're making progress on the sale of noncore assets, so notably the land in Mexico. So you bring all those pieces together, I think it's conducive to a deleveraging plan. That said, it's not only a function of deleveraging with our cash on hand. There's also a notion that we've been talking for the past few quarters about a refinancing. We do think there's an opportunity to even improve our balance sheet beyond that but refinancing is a complex transaction. And for sure, we're focused on that and we'll share with you the details in due course.
Operator: The next question comes from Kevin Chiang of CIBC World Markets.
Kevin Chiang: I echo, Konark. So congratulations on a strong winter season there. Maybe if I can look past this fiscal year, obviously, you raised your margin targets. It sounds like your adjusted CASM is trending better than what we're hearing from other players in the industry given some of your internal levers. What do you think margins can get to here as we look out further into this recovery, like do you have a sense could this -- could your business be a -- if I look pre-pandemic, it looked like it peaked up close to 8%. Could this be a 9%, 10-plus percent EBITDA margin business given some of the puts and takes? Or some of those things you're dealing with now transient, right? Like a lot of pent-up demand, I suspect wage inflation is probably a little bit higher here than it was in previous cycles. Just like how do you think about maybe margins longer term?
Patrick Bui: Yes. If I go by block by block. So if you look at this -- let's start with 2023. So our revised guidance is 5.5% to 7%. So I think already this year, we are within the range of what we've seen as a historical average, whether you take 10 years or something like that. So we're already there in terms of historical averages with respect to EBITDA margin. And then when you look beyond 2023, the first -- the second building block after that is getting back to the capacity of 2019, benefiting from the operational leverage in our business to expand the margins beyond the historical average. And that's just getting the capacity of '19. Obviously, we see potential to grow the business in terms of capacity as well and benefit from additional operational leverage. Then I'd say the third building block is what we've been meticulously executing which is again our strategic plan. And so as you know, there's 6 levers to that. And by the time that it's a multiyear plan. So by the time we execute that and we see the full run rate potential of those strategic initiatives, it will take a little bit of time. But that being said and to answer directly your question, we do think the full potential of this business is in a double-digit EBITDA margin level.
Kevin Chiang: Okay, that is super helpful. And obviously, a lot of momentum there. Maybe if I ask the debt question a little bit differently. When you think of the normalization also even better than normalization of your earnings because you're obviously looking to hit higher highs here. What do you think the optimal capital structure here is only because you have a large leased fleet. So that and of itself is potentially over $1 billion [ph] of liabilities. You obviously have a long-term debt there. Like is there a leverage ratio you'd like to get down to -- if I look at -- and I know they're not real -- they're not direct peers but focus some of the other airlines out there looking to get to investment grade or something close to that. I guess I am challenged to see how you take $2 billion of total debt with half of that being leases and even as earnings continue to recover, how you might get to a leverage ratio close to that? Or maybe that's not the right bogey for your type of business model. You let me know.
Patrick Bui: Yes. I'd say, look, we're working -- we're getting some views and analyzing all the options, as you know, with respect to refinancing. You are right in pointing out that if you just look at our lease liabilities, it does provide a floor in terms of what we think optimal leverage is. Currently, we're a model where we lease our aircraft. So it does bring leverage to our balance sheet. If we look at what optimal means, you can look at what we see in the industry and in terms of averages. We don't think that it's necessary to go that low in terms of leverage compared to others, again, because we have a lease fleet but certainly bringing it down to levels of 3.5x, 3x net debt-to-EBITDA over time, we think it's a level that makes more sense.
Kevin Chiang: That's super helpful. I'll leave it there. Best of luck as you get through the summer here and congrats on a good Q2.
Operator: The next question comes from Tim James, TD Securities.
Tim James: Just wondering, first of all, if you could talk a little bit about your -- the flight crews and your staffing. How are you doing in terms of meeting pilot requirements? And maybe if you can comment on just sort of natural turnover and how that compares to historical trends.
Annick Guerard: Yes. Well, we are -- the labor market is tight, of course and we've talked about this in the past but we have been able to attract and retain all the people we need [ph]. So we do not see any issues right now at the current time in terms of hiring new pilots or new staff mechanics and flight attendants. So things are going well. Of course, we are increasing our efforts towards Canada in the Ontario market, especially to make sure that we are able to reach out to those talents, especially on the pilot side to make sure that our brand is well recognized and that we are able to better attract in that market but things so far are going well. So pretty pleased with the numbers we have. We are not in shortage of pilots at this moment. And we are planning ahead with different initiatives that we've put in place to make sure we secure enough pilots for the upcoming years.
Tim James: Okay, that's helpful. My next question, I'm just looking at the graph -- the yield graph line on Slide 7. A bit of a moderation in yields versus 2019 over the past couple of weeks. I'm just wondering how we should think about that. Just again, we don't have the equivalent sort of graph for 2019 but is there -- is that just a normal sort of seasonal change? Or how should we think about that moderation in the graph in the last couple of weeks?
Annick Guerard: Yes. Good observation. The yields are still very high when you compare them to past year. What we've been doing over the last weeks is putting a little bit more pressure in increasing our load factors. So we've been doing some tactical initiatives in terms of promotion and adapting the pricing to make sure that on specific rules, we would capture as much clients as possible, considering, of course, always to optimizing the overall revenues for the aircraft. But this is things that are really important to us. And what's really important is to follow the RASM which is the good balance between load factors and revenue per passengers and this is what we're looking at right now and RASM keeps going up and up week after week.
Tim James: Okay, that's really helpful. And then my last question, if I might and it ties into that a little bit. I'm thinking about longer-term margins and profitability and the ability to generate free cash and just maybe goes to the comment about believing EBITDA margin potential is ultimately in the double digits. How do you think about the balance between capacity or driving traffic and revenue versus margins. Should investors view kind of a low double-digit margin as the ultimate goal and that if it seems like the market requires less capacity in order to achieve that goal that you would slow down capacity additions. I mean, should we assume that, that is more important than sort of top line growth and traffic ultimately?
Annick Guerard: Well, I think we should expect that we see, of course, that there's pent-up demand and maybe lower capacity offered in the market right now. And we will expect that this will rebalance in the future as it has always done in the past. The difference between the past and the present and the future, I would say, on our side, is that we have totally changed our business model, so focusing much more on the airline profitability drivers. And the moves that we've done within the organization with the change in our fleet, the change in how we design our network are things that are going to be sustainable in the future. And even though the capacity comes back to pre-pandemic levels and that there's maybe more of a balance between capacity and offer in the future, we believe that we are much more equipped in order to be able to generate higher margin in the future. The Transat that we had 4 years ago is fully different than what we have today. And with the fleet that we have, the teams that we have in place and what we're able to achieve which is still to be shown because there's still a lot of improvement within our strategic plans to be deployed. We believe that even though the market comes back to pre-pandemic level in terms of offer and demand, we will be much better positioned to achieve great margins.
Operator: [Operator Instructions] Our next question comes from Cameron Doerksen of National Bank Financial.
Cameron Doerksen: I guess I have a question or maybe a follow-up question on the balance sheet. Patrick, I'm just -- just wondering if you can sort of discuss your thinking around the unsecured LEAF [ph] credit facility because obviously, the rate goes up at the end of this year but even at 8% in the context of the current market, it's still not bad. But by the same token, you can repay that earlier and reduce the warrant exposure. So I'm just wondering how you're thinking about that piece of the debt.
Patrick Bui: Yes. To be honest, like we mentioned in Q1, if you go by block, our first focus is really on the secured debt, right? And it goes to the interest rate on the secured portion. When you look at the weighted average, it's fairly high because that piece was -- it's a variable interest rate. The unsecured, as you pointed out, is fixed, it's 5% going to 8%. So I'm just going to say that it's part of our consideration, Cameron. And once we have more details of how we think we could improve on that, there's a function of rates but functions of other factors as well. Once we have a clear picture on that, we'll be happy to share those details with the market.
Cameron Doerksen: Okay, makes sense. Just on the -- I guess, the operations and particularly, I guess, sort of on the unit cost, I mean, it's something you highlighted that utilization of the fleet was significantly higher, I think 22% in the past winter versus 2019. Can you just discuss what sort of increase in utilization you expect to see on the fleets during the summer period, I would imagine you also see a fairly significant improvement.
Annick Guerard: Well, the improvement is not that significant because the -- for the summer in the past, when we look at the past, the past performance in previous summers, like in 2019, we were already performing at high aircraft utilization. The big issues on our side was really on the summer season. That being said, there is still improvement on summer and we're looking at 5% increase in terms of flight utilization which is considerable compared to 2019.
Cameron Doerksen: Okay, that's helpful. And are you seeing any impact from, I guess, some of the parts shortages and engine issues that seem to be affecting other airlines? I'm just wondering if that's somewhat of a risk for the operations this summer for you.
Annick Guerard: Can you repeat the question? I'm sorry, we were in a...
Cameron Doerksen: We're seeing some other airlines who are operating some of the newer generation aircraft having parts shortages and some issues around their engines on some of the planes. I'm just wondering if you're seeing any of those problems in your fleet.
Annick Guerard: Yes. There are indeed the challenges that we do and for which we do feel the impact with the Pratt engine. So we are putting in place a series of actions to protect our operation, of course, this summer and next winter like leasing additional engines and planning for additional backups within the operations. And we are following the situation closely with ongoing discussion with the providers, the suppliers and looking at different corrective measures. We've experienced that, of course, on the aircraft side as well. We are putting in place as well, a series of action with the leasing of temporary aircraft, the ACMIs that we've put in place last winter and this summer. But we are dealing with it. This is not new to us. So we are putting the right contingency plans in order to deal with us.
Cameron Doerksen: Okay. No, that's good to hear. That was all for me.
Operator: Our next question comes from Michael Kypreos of Desjardins Securities.
Michael Kypreos: Congratulations on the quarter. Maybe just, Patrick, on the $150 million that you had mentioned last quarter from collecting from credit card processors. Do you have any update on that? Maybe what are the expectations moving forward?
Patrick Bui: Just want to clarify, $150 million, we have something closer to $70 million in mind that we collected in the first quarter. But looking forward, we think we put in place a structure that over time will enable us to recuperate further cash. So that was -- it's directly linked to our change of strategy with respect to our partners. We've talked about in prior quarters with respect to bringing new partners, for example, Nuvei in our credit card processing ecosystem. And what you see in the quarter and hopefully in the next few quarters is increased as compared to our prior strategy of releasing cash. But that being said, what we have in place is a significant improvement versus the past. And the question we have internally is there room for further improvement? And the answer to that is yes. We think that with time, we will be able to free additional cash from the credit card processors and directly into our freehold cash.
Michael Kypreos: All right, that's helpful. And maybe just a last one on -- you had mentioned that Europe comprises 80% of that activity you're expecting for the third quarter. How does this compare versus historical pre-pandemic [indiscernible]?
Patrick Bui: Sorry, could you repeat that, Michael? We missed that one.
Michael Kypreos: Yes. The 80% of activity expected for the third quarter coming from Europe and international travel, how does that compare with pre-pandemic measures?
Patrick Bui: Yes, I'd say it's fairly comparable, Michael. Maybe in the past, it was a little higher than the 80%, maybe up to 85%, something like that. But it's part of our strategy to be increasing presence certain markets, so on and so forth. So it's consistent with our strategy. You look at a number like 80%, 85% during the summer period.
Operator: That was our final question. I'll turn the call back over to our speakers for any closing remarks.
Annick Guerard: Thank you, everyone. Let me remind you that our third quarter results will be released on September 14, 2023. Thank you and have a nice day.
Operator: This does conclude the conference for today. We thank you for your participation and have a nice day.